Operator: Hello, and welcome to the TIC Solutions Third Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to your host, Andrew Shen, Director of Investor Relations. Thank you. You may begin.
Andrew Shen: Thank you, operator. Good morning, everyone, and thank you for joining the call today. Joining me this morning is Tal Pizzey, our Chief Executive Officer; Kristin Schultes, our Chief Financial Officer; and Robbie Franklin, Executive Chairman; Ben Heraud, our President and Chief Operating Officer, will join us for the Q&A session. Before we begin, I'd like to remind you that certain statements in the company's earnings press release and on this call are forward-looking statements, which are based on expectations, intentions and projections regarding the company's future performance, anticipated events or trends and other matters that are not historical facts. These statements are not a guarantee of future performance and are subject to known and unknown risks, uncertainties and other factors that could cause actual results to differ materially from those expressed or implied by such forward-looking statements. In our press release and filings with the SEC we detailed material risks that may cause our future results to differ from our expectations. Our statements are as of today, November 12, 2025, and we undertake no obligation to update any forward-looking statements we may make except as required by law. As a reminder, we have posted a presentation detailing our third quarter financial performance on the Investor Relations page of our new website, reflecting our recent name change, www.ticsolutions.com. Our comments today will also include non-GAAP financial measures and other key operating metrics. The required reconciliations of our non-GAAP financial metrics can be found in our press release and in our presentation. Before we begin, let me outline the flow of today's prepared remarks. Tal will cover business performance and key operational highlights. Kristin will review our financial results, provide an update on our outlook and share progress on our integration program. Robbie will share perspectives on the strategic alignment of the combined company and how TIC Solutions is positioned for long-term growth. It's now my pleasure to turn the call over to Tal.
Talman Pizzey: Thank you, Andrew. Good morning, everyone, and thank you for your continued interest in TIC Solutions. Welcome to our third quarter 2025 earnings call. As you may have seen, our new name, TIC solutions reflects the unification of Acuren and NV5 under a single platform dedicated to reliability, innovation and service excellence. During the quarter, we brought together these 2 strong organizations under the TIC Solutions banner. This creates a unified tech-enabled TIC and engineering services leader with scale diversification and momentum across infrastructure, energy transition and data centers that deliver comprehensive asset integrity and infrastructure solutions. I am pleased with what I'm seeing in these early months. Our teams are collaborating well and we're laying the groundwork for meaningful synergy capture as integration actions move from year-end into 2026. The new name also reflects our intention to continue to expand the markets we serve and the services we provide within the TIC and engineering space. Let me start with our strategic vision, recent performance and market momentum. As a combined entity, we now support clients across the full life cycle of critical assets and infrastructure from design and construction through commissioning, operation, ongoing maintenance, compliance and decommissioning. Our technicians and technology collect critical data on asset condition whether the asset is as small as a pressure safety valve or as large as a data center, a bridge or a shoreline. Our engineers then analyze that data with capabilities to use artificial intelligence to assess integrity, extend life and where needed, mitigate risk through our industrial rope access and remediation capabilities. We are not simply larger, we're more capable, and that matters in serving the complex regulated needs of our end markets where reliability, safety and compliance are paramount. Equally important is the diversification we've achieved through the combination. We're now a $2 billion-plus business with balanced exposure across multiple attractive end markets. On a combined year-to-date basis, we delivered year-over-year revenue growth of approximately 5% across our 3 segments. Our growth was supported by double-digit expansion in our Consulting Engineering segment. The exciting data center work for our hyperscaler clients more than doubled over the trailing 12 months, reflecting the accelerating demand from AI and cloud infrastructure build-outs. As hyperscalers expand into new geographies, we're growing with them, both domestically and internationally. Activity and infrastructure conformity assessment building, planning and design and building digitization also continues to strengthen alongside infrastructure build-out across North America. Finally, infrastructure investments supporting grid modernization and the energy transition are creating new opportunities across all 3 of our segments. These are not short-term trends. They are multiyear growth drivers. Reinvestment in both new and aging infrastructure expands our addressable market and our combined capabilities position us well to compete and win. Moving to Geospatial. Our geospatial data collection and analytics services performed well with steady mid-single-digit growth against the prior year as well as a compelling margin during the quarter. Performance was supported by healthy utilization, increased momentum in aerial hydrospatial and stable demand across both public and private sector clients. The Inspection and Mitigation segment has delivered year-to-date growth despite the negative impact related to the timing of capital projects such as LNG construction, softness in the chemicals customer base and foreign exchange headwinds. In the third quarter, growing run and maintain activity along with stable Call-Out work helped offset these declines. Turning to integration and cross-sell execution. We are having meaningful conversations with our clients about delivering more solutions than either business could provide independently. In several cases, we're already collaborating on opportunities that leverage our combined capabilities and these joint efforts will translate into tangible revenue wins and new value for our clients as we further integrate. We've seen examples of tangible cross-selling momentum. I'll provide 2. Our consulting engineering team is partnering with our inspection and mitigation team on a nationwide laser scanning and digital blueprinting initiative covering more than 1,000 retail sites with expansion into Canada planned for next year. The program integrates legacy Acuren field workforce and legacy NV5's digital modeling capabilities to deliver high resolution data-rich building scans that support real-time asset tracking and space management for the client. The scans enable the technology to achieve roughly 99% accuracy for tracking both quantity and location of individual retail products, providing a scalable foundation for future digital inventory applications. We're also collaborating on a Digital Twin initiative for a major mining operator in Canada, combining our site access and inspection expertise with our modeling and analytics capabilities for one of our long-standing clients. The program covers more than a dozen facilities and is focused on creating asset level maintenance models that allow the client to track individual asset component condition, age and replacement needs to optimize long-term reliability. These examples demonstrate how the combined organization is actively unlocking opportunities that neither could have pursued independently as stand-alone companies, highlighting the practical value of our value creation for our clients. More broadly, the strength of the platform lies in the essential nature of our work. Our customers rely on us to keep critical assets, buildings and infrastructure operating safely and efficiently. Our work is fundamental to how these assets are managed. Our recurring run and maintain business provides stability while our specialized offerings command premium pricing when timing is critical and when deep technical expertise is required. Together, these factors drive a resilient business model with durable performance through varying business cycles. As we move forward, our focus is on disciplined execution, growing the business, advancing integration, capturing synergies, both revenue and cost synergies enhancing margins and driving long-term value creation for our stakeholders. We see clear opportunities to invest prudently in the growth, improve efficiency and continue strengthening our platform for scale. I will now hand the call over to Kristin to walk through our financial performance in greater detail.
Kristin Schultes: Thank you, Tal, and good morning, everyone. Third quarter revenue of $473.9 million grew substantially year-over-year, reflecting 2 months of NV5's contribution following the August closing. This growth reflects continued performance across our core end markets. If we look at the growth of the business, as if the acquisition had happened on January 1, 2024, the third quarter growth of the combined business would have been approximately 2.4%. On a year-to-date basis, the combined business grew approximately 4.7%. Beginning with this 10-Q, we've introduced segment-level reporting that aligns with how we lead and manage the business and how we plan to communicate about the business going forward. We felt it was important to provide a clear view of the different parts and how each contributes to our performance. Our Inspection and Mitigation segment, which is primarily the legacy Acuren business, generated approximately $293 million in revenue, down approximately 3% from the prior year period and up approximately 1% year-to-date. Strong activity in our run and maintain business, along with steady demand in our Call-Out work was offset by the impact of less project work along with softness in our chemicals end market and FX headwinds. Our Consulting Engineering segment, which is primarily legacy NV5's infrastructure and buildings and technology businesses, contributed approximately $122 million during the 2-month stub period following the close with strong momentum across infrastructure, buildings and data center services. If NV5's results were included for the full quarter, consulting engineering revenue would have been approximately $189 million or roughly 11% higher than the prior year on both a quarterly and year-to-date basis reflecting data center growth as well as revenue from acquisitions. The Geospatial segment contributed about $62 million during the same 2-month period. Including NV5 results for the full quarter, Geospatial would have been about $90 million, approximately 4% higher than the last year and 5% year-to-date, driven by steady federal and utility program demand. On a consolidated basis, adjusted gross profit, which excludes depreciation, was approximately $171 million, with adjusted gross margin of 36.1%, up from the prior year period reflecting the favorable gross margin mix from added NV5 services. For our Inspection and Mitigation segment, adjusted gross margin was 28.5% for the quarter and 27.7% for the full year-to-date period. In the third quarter, Consulting Engineering and Geospatial both generated strong gross margins of 51.4% and 48.4%, respectively, supported by favorable project mix and strong operational execution. Adjusted SG&A for the quarter was approximately $93 million or 19.7% of revenue compared to 12.9% in the prior year period. The increase was primarily due to the inclusion of NV5 operations which have a higher proportion of SG&A as a percentage of sales. Adjusted EBITDA for the third quarter was $77.3 million, representing an adjusted EBITDA margin of 16.3% compared to $51.3 million with a margin of 16.9% in the prior year period. The year-over-year increase in dollars reflects the addition of -- '25 results without the impact of realized synergies. We expect to begin realizing cost synergies late in the fourth quarter of this year and into 2026. Operating cash flow for the 9 months ended September 30, 2025, was approximately $45 million reflecting efficient working capital management and the inherent cash-generative nature of our services-based revenue model. Capital expenditures for the first 9 months totaled approximately $21 million or 2.1% of revenue. This is slightly below our historical average due to the NV5 acquisition. Turning now to an overview of our balance sheet and capital resources. As of September 30, 2025, we had total liquidity of $282.9 million including cash and cash equivalents of $164.4 million as well as $118.5 million of available capacity under our revolving credit facility. Total term loan debt was approximately $1.6 billion. In October, we completed a $250 million private placement of approximately 20.8 million shares of common stock and prefunded warrants at $12 per share to an existing shareholder. This transaction strengthened our balance sheet and provides additional flexibility to fund selective growth opportunities as well as accelerate deleveraging. These proceeds enhance our capital position and provide ongoing opportunity to allocate capital to our accretive tuck-in acquisition strategy as well as considering more material opportunities as they arise. Our balance sheet is in a solid position, and we remain focused on using free cash flow to reduce leverage over time. We continue to target a long-term net leverage ratio below 3x through disciplined cash generation and integration execution. Now turning to our outlook. We are reaffirming our full year 2025 guidance, expecting revenue in the range of $1.530 billion to $1.565 billion and adjusted EBITDA in the range of $240 million to $250 million. This outlook reflects steady year-to-date performance and continued confidence in demand across our core markets. For illustrative purposes, if NV5 had been included for the full year, these guidance ranges would equate to approximately $2.11 billion to $2.15 billion of revenue in 2025 on a combined basis. Looking ahead to next year, we expect revenue to grow between 3% and 5% relative to the 2025 combined company baseline, and adjusted EBITDA margin should be in the range of 15.5% to 16.5%, including the impact from cost synergies as they are realized. We look forward to providing a more detailed update in connection with our fourth quarter and full year 2025 results in March. Next, I'd like to touch on the work the team is doing to integrate these businesses. At the end of this month, we will conclude the planning phase of the integration program and move into our execution phase. Our teams are working hard, and I am excited to announce that we have increased our cost synergy target from $20 million to $25 million, and we expect to be at that full run rate by mid-2027 within our original time line of 18 to 24 months post close. The largest area of savings are coming from overlapping corporate resources and service providers, system consolidation, real estate footprint optimization and procurement and vendor optimization. Integration is advancing with discipline, a dedicated integration management office with leadership from both legacy companies is driving execution against defined milestones, and we look forward to continuing to update you on our progress. With that, I'll turn the call over to Robbie to talk through the long-term strategy for TIC Solutions.
Robert Franklin: Thank you, Kristin, and good morning, everyone. With the NV5 transaction complete, we're seeing the benefits of bringing these complementary businesses together, creating new opportunities and measurable value for clients. The early success comes from how naturally these businesses fit together. Acuren's inspection and mitigation expertise combined with NV5's engineering design and geospatial intelligence to cover the full asset integrity life cycle, enabling us to move quickly and deliver broader solutions for our clients. Culturally, this combination is working because both organizations share the same foundation, technical excellence, professional integrity and a client-focused mindset. This shared culture gives us confidence in the long-term success of the platform. Looking ahead, TIC Solutions now has the characteristics of a long-term compounder, meaningful scale in fragmented markets, diversification that drives resilience and exposure to secular tailwinds such as infrastructure renewal, energy transition and investment in digital infrastructure. The company also has both the scale to invest across geographies and the financial flexibility to invest selectively where we see attractive returns. The work we do is essential, critical infrastructure across the globe depends on our services, ensuring asset integrity, verifying compliance, designing resilient systems and delivering geospatial insight. Demand for these capabilities is nondiscretionary and the complexity of modern infrastructure creates sustained need for our expertise. We're building TIC Solutions for the long-term, disciplined execution, consistent cash generation and durable value creation for shareholders while offering meaningful careers for our people and reliable outcomes for our clients. Thank you. With that, let me turn the call back to Tal for closing remarks.
Talman Pizzey: Thanks, Robbie, and thank you, Kristin. Our third quarter results demonstrate that we're executing effectively through a milestone year for our company. We completed a major acquisition, are integrating large teams while continuing to deliver for our clients without interruption. This is a testament to the dedication and professionalism of our people across both organizations. We've built a platform with meaningful scale, technical depth and diversification across attractive end markets. The inspection and access capabilities that define Acuren now connect seamlessly with NV5's engineering and geospatial expertise, creating opportunities neither business could have achieved -- could have achieved alone. The structural trends supporting our markets remain powerful, aging infrastructure, increasing regulatory and technical complexity and the acceleration of AI data center and clean energy investment. Our priorities remain clear: operate safely, deliver exceptional service and translate growth into strong cash flow and long-term value. We are executing on a unified operating model, accelerating cross-selling across end markets, aligning our people and processes under one culture and focusing on high-growth capabilities like data centers, renewables and grid modernization. Finally, I want to recognize our 11,000 team members across more than 250 locations across the globe. Combining 2 organizations, while delivering for our customers every day requires focus, flexibility and commitment. Our people are rising to that challenge and their professionalism reflects the culture we've built, one centered on safety, quality and a higher level of reliability for our clients. With that, I would now like to open the call for questions.
Operator: [Operator Instructions] The first question is from Chris Moore from CJS Securities.
Christopher Moore: So you did the $250 million equity raise in early October. That leaves leverage a little above 3x based on at least my '26 adjusted EBITDA. Just trying to get a sense of a reasonable range for annual free cash flow after the integration is a little bit further along.
Kristin Schultes: This is Kristin. Thanks for the question. I think cash flow for us is a big opportunity for us with regard to kind of the scale and the profitability of the combined business. I think if you step back, the business is -- continues to be a high free cash flow business, low CapEx, high margin. If we just mentioned some of the building blocks for that. We haven't provided guidance on free cash flow yet. But from a building block perspective, we've got the cash interest of roughly $105 million. And that a reminder that, that assumes no repayments and no changes to the current interest rate environment. On the cash taxes piece, we're in the range of about $20 million to $30 million. And then again, we've talked about this in the past, but our CapEx is roughly 3% of revenue. And from there, it would just be any changes in working capital.
Christopher Moore: Got it. I appreciate that. So NV5 had a, I think, a $400 million revenue target for data center in 4 to 5 years a little while ago. Just trying to get a sense if -- is that still the target? And does the combination with Acuren, does that potentially accelerate anything?
Kristin Schultes: Yes. That's a great question. The data center business is something that we're really proud of and very excited about the way we've been able to grow that. I would tell you that the revenue on a quarter and year-to-date basis is up over 100%. It's still only about 3% of our revenue, but we're excited about where it's headed. We started outside of North America with our data center business. And it was fairly limited in scope, and it continues to grow, and we're looking for ways to expand services from there. So I'll let Ben comment if he wants to add anything.
Robert Franklin: Yes. Chris, it's Robbie. I would say we're in the process of sort of building out our strategic -- like our 5-year strategic plan. And I think the targets that the company -- that NV5 had historically were great and very ambitious, and I think that there's a glide path to get there. The opportunity for us in this combination is really to marry the kind of the on-the-ground services that Acuren can provide within the data center environment with sort of the technical expertise and the commissioning side that NV5 had historically. So it's certainly a big area of focus for us given sort of the secular tailwinds you see in the space.
Christopher Moore: Got it. I appreciate that. And maybe just a last 1 for me. Q2, Acuren was still exiting some lower-margin customers contracts? Just trying to get a sense is that -- did that still happen in Q3 and kind of where that process is?
Kristin Schultes: Yes. Thanks, Chris. Margin is important for us. We're continuing to look at relationships. And if needed, exiting those relationships through pricing, I think the softness you see in the third quarter is primarily timing, project-related and LNG construction related. And so we'll continue to look at that, but we're also really excited about the growth opportunities that we see heading into 2026 in that segment.
Operator: The next question is from Justin Hauke from Robert W. Baird.
Justin Hauke: Great. And I appreciate the new segment disclosure. That helps kind of understand the moving pieces a little bit better. I guess I wanted to ask about the geospatial. I mean it was good in the quarter. I'm just curious because in the past, it's been levered to kind of activity with the federal government and funding and things like that. So I'm just curious if there's been any impact from the shutdown in the fourth quarter or how we should think about that business in the year-end?
Kristin Schultes: Justin, thanks for the question. Yes. So on a consolidated basis, we have roughly 20% exposure with government work, less than 10% from a federal perspective. I would tell you that there has been a nonmaterial limited impact here in the fourth quarter. So far, we're optimistic that the reopening is happening and that it will be quick in terms of individuals getting back to work and getting through the stack of papers on their desk and there's limited impact from issuing POs and work orders for our business. But aside from that, that's really it.
Justin Hauke: Okay. And I guess my second question would just be in the Inspection and Mitigation segment. You talked about the weaker turnaround activity as kind of timing related maybe separate from the oversupply in the chemical markets, but the specific to the turnarounds. I'm just curious because that's also seasonal, how that's trending in 4Q? Have those kind of snapped back? Or are you still kind of waiting for turnaround releases on that?
Talman Pizzey: I can take that.
Kristin Schultes: Go ahead, Tal.
Talman Pizzey: The turnaround activity is not really material change this quarter for us. The decline we mentioned was related to the timing of the starting and ending of LNG projects. We see a pretty good multiyear horizon in construction of LNG facilities. It's an area of particular expertise for the Acuren business. And as these projects come to an end and the next one starts up, there can be gaps there, and that's what we saw in the quarter. And as we indicated, the end market pressure we saw was really the chemicals. But the outage business for us is not as spiky as some companies, and I don't really see that as a big issue in the quarter or the year.
Operator: The next question is from Kathryn Thompson from Thompson Research Group.
Kathryn Thompson: And I appreciate the color that you're also providing in the 10-Q that you filed today on the segments. Just circling back to the synergies that you outlined. I appreciate you bumped it up to $25 million. Could you give a little bit more color on the driver for the upside? And how much of this -- of the components of the synergies are more cost driven? And do they include any revenue synergies that can come from the combination?
Kristin Schultes: Kathryn, thanks for the question. Yes, I would tell you, I'm very excited about the momentum that the integration team has internally so far given that this acquisition just recently closed in August, and we really didn't kick off the integration until after Labor Day. I'm pleased with the way that we've accelerated the progress in identifying cost synergies. I would tell you that the $25 million is purely cost synergies, nothing with revenue. It's kind of a different topic for us. And it's primarily back office support and the way that we're organizing the business and supporting the business to sell and execute work. So we're going to continue to push on that number, but excited about the progress we've made so far.
Kathryn Thompson: Do you have any -- on a ballpark standpoint, any type of early assessment of what the revenue synergies could be?
Kristin Schultes: Yes. So Robbie, you mentioned some of the long-term strategic planning we're doing and to put a number on that, but it's an area of immense focus within the team right now, and we're really excited about some of the early momentum and the opportunities. We have cross-selling opportunities, intercompany as well as intersegment as well as across segments. And so we are looking to provide some internal targets on that front, but nothing to share externally in.
Kathryn Thompson: Okay. And then on Slide 7 of the deck that you published today in conjunction to earnings has a nice breakout of the diversified end market mix for the combined entities? And you can see that data centers is technically 2% of the mix. But from our visiting side of a construction site, we know that there's more involved in than just the center itself, there's the power of the utilities, there's kind of the energy side. When you step back and look at broad not just data centers, but the reindustrialization. What are your main buckets that you've outlined in your end market mix touches on both data center build-out and reindustrialization secular trend in the U.S.
Kristin Schultes: Yes. So Kathryn, in terms of end market mix, I would -- I'll just highlight a few kind of areas of bright spots or areas that we're excited about as it relates to some of the megatrends that we're seeing aside from data centers. Our renewables business is up significantly. I think our wind business in the Inspection and Mitigation segment is up 30% year-over-year. And we also see a lot of opportunities within the manufacturing and fabrication space, to your point. And also, I would just add, the Rope Access solution business that we have is largely untapped, and there's a tremendous amount of opportunity to grow that across the globe. So Tal, is there anything you want to add to that?
Talman Pizzey: Sure. I think there's a lot of excitement around data centers for sure, and we are working on the individual -- with the individual segments to think of the cross-selling opportunities, things like Acuren technicians performing commissioning tasks. The undergrounding team dealing with power, delivery and utilities coming to and from. And then, of course, the generation of power itself is quite exciting as we see more and more companies looking at gas-powered turbines as well as in the future, I'm sure we'll see small package nuclear facilities. So these are all areas we're going to pay attention to. And Ben, you may have some comments on this as well as you've been working on the data center.
Benjamin Heraud: Yes. I mean when we started the data center business, it was with a very narrow range of services. It was really just MEP and commissioning. As we brought [ MEP ] that was in Asia Pacific, largely a couple of years ago, we really invested in bringing those services in the sector heavily to the states. And what that enabled us to do is start layering in other services. So this -- we talk cross-selling, but this has actually been happening actively over the last couple of years where we're bringing substation design, power delivery, fire protection, security, structural engineering and then more recently, bringing the NDT work in. So it enables us to generate more revenue per megawatt of data centers. And so it's sort of a double-edged sword, while those traditional services we were providing continue to grow rapidly, we layer on these additional services, both here in the U.S. and now international. So it's sort of a compounding effect in terms of our growth on the data center side.
Kathryn Thompson: Okay. Helpful. Just 1 follow-up question on the -- somewhat related to the government shutdown. When we -- based on our conversations with state departments of transportation, it does not appear that, at least right now, their flow has been impacted, which would obviously impact your infrastructure roughly 1/4 of your business. I just wanted to confirm that, that has also been your experience, but that has been our feedback from our industry contacts.
Kristin Schultes: Yes. I think -- so Kathryn, like I mentioned, our impact is not 0, but it's also not significant. I think there's some individual departments within the government that have had an impact, and some of it is just more timing, like we said. So I think getting through this and getting things up and running again quickly, will be really helpful.
Talman Pizzey: I would echo your thoughts around the infrastructure side of the business, that's not where we've been seeing impact.
Operator: The next question is from Josh Chan from UBS.
Joshua Chan: I know that you said some of the Q3 choppiness was timing related. So kind of setting those aside, on the chemicals side, do you expect that softness to kind of persist into Q4 and into 2026? And does that kind of color the range that you kind of gave us for 2026?
Kristin Schultes: Yes, I would say what we're seeing is that we hope that it stabilizes in the chemical space. But when we look at our guidance for Q4 and into the next year. I would tell you that we're modeling a little bit of the same and hope that there's some upside there. But in general, we're excited about our ability to deliver against the Q4 and next year results and hope that there's some bright spots within the chemical space soon.
Talman Pizzey: What I could add to that is -- I just add to that. In the chemical space, I thought it would be helpful to play out what it looks like when they're under pressure because we know the work we do is really essential services to maintain the integrity of facilities. And if our customers are under stress financially it's not wise for them to push inspection very far. So what we might have seen is if you have 20 inspectors on site, maybe they reduce headcount to 15 or if they have an outage, they might be able to replace some aged equipment. We refer to that as sustaining capital investments. And those sustaining capital investments have been smaller and deferred. And so often, when we see that, there can be a bounce back at some point because these facilities are not closing, they're still operating and they need to operate safely. So we do expect at some point to be a bounce back because this is essential work that we do.
Joshua Chan: That makes a lot of sense. I appreciate that color there, Tal. I guess on the margin front, I think the level that you gave for 2026 may be roughly in the same ballpark as what it might be in 2025. So is there any thoughts on why that wouldn't be maybe a little bit better given the realization of at least some of the cost synergies?
Kristin Schultes: Yes. Thanks, Josh. So the range that we provided of $15.5 million to $16.5 million does include some slight margin improvement as well as the impact of realizing some of the synergies that we've identified.
Operator: The next question is from Stephanie Moore from Jefferies.
Harold Antor: This is Harold Antor on for Stephanie Moore. So I think in your prepared remarks, you discussed some premium pricing in some of your specialized services. So I guess, thinking about organic in 4Q '25 and '26. And just trying to get a sense for what was premium pricing in the quarter, how should you expect it to run next quarter? And then, I guess, in 2026? And then just any comments on I guess, in that I think the revenue guide you gave for '26 was 3% to 5%. Maybe you could give us a sense for what percent of that is organic and then what you need to see to hit the high end of your EBITDA margin range target?
Kristin Schultes: Can you clarify the first part of your question again, please?
Harold Antor: Yes. So you discussed on premium pricing in some of our specialized services. So I wanted to get a sense of what pricing was in the quarter? And then in 4Q and then I guess, your expectations for 4Q '25 and 2026.
Kristin Schultes: Yes. I think we're excited to be providing guidance for 2026. It does include some margin improvement. And in terms of specialized or premium pricing during the quarter, I think we've provided the adjusted gross margin in the tables. But I think it's important to point back, just given the noise with the timing of the acquisition back to our adjusted EBITDA margin. And I think that's the best way to be looking at the business in the short-term given the noise of the transaction.
Harold Antor: Got it. I guess just at a high level, I guess, from where the company is today, and we've discussed it, I guess, the data set opportunity a little bit. I guess where do you see the most opportunity for growth in the business? Is it still data center? Is it expanded infrastructure into Canada or doubling down on geospatial. I would love to hear your comments of, I guess, which area of the business gets you most excited? And then I guess on a separate point, I think you discussed having a balanced capital allocation view given the pipe transaction. So I know debt paydown is a focus, but also wanted to hear any comments on M&A and which side of the business you would like to gain exposure through M&A?
Talman Pizzey: Okay. I can take the first part of that question. I think the biggest opportunity to really realize the potential of these 3 companies working together or these 3 segments working together. There are -- there's a lot of white space to fill in the total value chain or the life cycle of an asset and the engineering design leading to a plan for inspection, leading to an inspection and collecting data and then back to engineering design. And I know that we have also a lot of white space in Canada, as an example, where NV5 has almost no presence and Acuren has a very strong, stable base of customers. So as we fill in these holes to connect the engineering -- the Consulting Engineering, the Geospatial and the Inspection Mitigation is a great opportunity for us. Of course, there are stronger end markets. And as we think about mix of work, to the extent that Consulting, Engineering, Geospatial, the higher gross margin work has higher growth than that will realize a better mix for us. So I think there's a lot of work to be done on just filling white space between the companies and following the end markets, things like data centers. I think, Kristin, you could probably talk to the...
Kristin Schultes: Yes. I'll take the question on capital allocation. So yes, we're excited about the opportunity that additional pipe provides from a flexibility perspective. I would tell you that we're going to continue to be opportunistic and disciplined from a capital allocation perspective. We have a very strong pipeline of bolt-on M&A. We closed 2 deals during the quarter and 9 on a year-to-date basis, and we've got a few more in the hopper for Q4. And those are businesses that we're buying in the 4x to 6x range, so immediately accretive for us. And we'll continue to be deploying capital there. The ones we've done so far this year have been across all 3 segments.
Operator: This concludes the question-and-answer session. I would like to turn the floor back over to Tal Pizzey for closing comments.
Talman Pizzey: Thank you, everyone, for joining us today and for your thoughtful questions. We appreciate your continued support and look forward to updating you on our progress as a combined organization next quarter. We're excited about the opportunities ahead, and we remain committed to executing our integration successfully while we remain focused on the business, operational excellence and customer service. Have a great day, everyone. Thanks.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.